Operator: Good morning, and welcome to SunOpta’s Third Quarter Fiscal 2017 Earnings Conference Call. By now everyone should have access to the earnings press release that was issued this morning, and is available on the Investor Relations page on SunOpta’s website at www.sunopta.com. This call is being webcast and its transcription will also be available on the Company’s website. As a reminder, please note that the prepared remarks, which will follow, contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We refer you to all risk factors contained in SunOpta’s press release issued this morning, the Company’s annual report filed on Form 10-K and other filings with the Securities and Exchange Commission for more detailed discussion of the factors that could cause actual results to differ materially from those projections and any forward-looking statements. The Company undertakes no obligation to publicly correct or update the forward-looking statements made during the presentation to reflect future events or circumstances, except as may be required under applicable securities laws. Finally, we would also like to remind listeners that the Company may refer to certain non-GAAP financial measures, during this teleconference. A reconciliation of these non-GAAP financial measures was included with the Company’s press release issued earlier today. Also, please note that unless otherwise stated, all figures discussed today are in U.S. dollars and are occasionally rounded to the nearest million. And now I’d like to turn the conference call over to SunOpta’s CEO, David Colo.
David Colo: Good morning and thank you for joining us. Joining me today is Rob McKeracher, our Chief Financial Officer. This quarter, we continue to make progress against all four pillars of our value creation plan including further refinements to our portfolio, with the exit from nutrition bar products. The implementation of additional food safety and productivity initiatives intensify go-to-market efforts, which are beginning to add meaningful future opportunities to our sales pipeline, while also winning selected new pieces of business and added key new talent at the plant and executive levels to further build out and sustained our improvements. Let me provide you with an overview of our third quarter business performance followed by a more detailed update on the value creation plan. Then I will turn it over to Rob, who’ll walk you through the financial results in more detail. As a reminder, we are still in Phase 1 of our transformation, therefore most of the actions we have taken as our product portfolio through divestitures, rationalizations, category exits and margin improvements are not increasingly apparent in our current and near term revenue levels. Recall, revenue growth is not the near term focus. Rather, we are ensuring we operate in categories where we have the right to win with pricing and promotional levels that allow us to build a foundation from which to grow. Nonetheless, we’ve had good success, particularly during the third quarter building the pipeline of future sales opportunities. Of course, in our industry there is a relatively long lead time for converting the pipeline of opportunities into sales. As a result, we expect to see tangible results from our enhanced sales activities during 2018 and a true reflection in the back half of 2018. We are committed to making the difficult short term decisions as we lay a solid foundation for the future. We have always said our journey will not be linear in this quarter was an example of that as we had disappointing financial results during the third quarter. Adjusted EBITDA for the quarter was $19.1 million, which is relatively consistent with the second quarter. EBITDA margin improved 20 basis points sequentially. However, some of our productivity enhancements today were not apparent in our margins as a result of the continued impact of bars and pouch performance and lower sales volumes. The underperformance in gross profit relative to our internal targets was partly offset by a reduction in short term incentive accruals, which shows up as the reduction to SG&A. We generated a gross margin of 11.8% on an adjusted basis, a decrease that 50 basis points compared to the prior year period, and below the second quarter level. We remain on track with our productivity enhancement activities for the full year. However, the lower sales volumes have impacted utilization and many of our implemented productivity enhancements are being applied against the lower level of volume, which negatively impacts the dollar realization of the enhancements in the near term. With the pipeline of future sales opportunities building, we are confident we will see margin flow through as volume increases over time. For example, in the consumer products segment our normalized margins are holding despite the lower volume in both aseptic beverage and frozen fruit when compared to the prior year, which illustrates that our cost reduction and productivity initiatives are taking hold. As our revitalized go-to-market strategy gains traction in 2018, we expect the incremental margin on new revenues to be above our corporate average as we leverage our fixed cost and realize the benefits of our value creation plan. During the third quarter, we generated revenue of $320.7 million compared to $348.7 million last year represented an 8% decline. The decline reflected the lower volumes in aseptic beverage and frozen fruit as well as the impacts of product rationalizations including the wind-down of pouches that began during the third quarter. In healthy fruit, while we maintained revenue levels on the food service and ingredients side of the business, we’ve experienced some declines in retail as we positioned the business to maintain acceptable margins, while transitioning from last year’s field fruit pricing to new crop pricing. In addition, the healthy fruit platform continued to face headwinds from flat to declining consumption trends due in part to a price gap between frozen and fresh. Furthermore, we also compared to an exceptionally strong third quarter last year when a shortage of fruit supply early in the year contributed to a jump in volume during the third quarter as availability increased. The same shortage in supply is what gave rise to higher field prices in 2016 that we’re ultimately passed on to consumers and impacted consumption. For example, last year during the third quarter, we rate – we were raising prices when the category was still growing. This year we are taking prices down at the categories weak. Based on the syndicated data for the period ended October 7, on a dollar basis the category is down 2.7% and 2.8% for the 12 and four week periods respectively. We are continuing to invest significant resources into our healthy fruit operations, focused on broadening supply, enhancing food safety, improving manufacturing efficiencies and bringing innovation to fuel growth all aimed at ensuring we remain the highest quality and lowest cost solution for our customers. In healthy beverage, we experienced sales decline year-over-year driven by the impact of the contract expiration with the private label non-dairy customer in April and lower volumes due to timing with the large food service customer. As a result utilization of our aseptic facilities was roughly 50%, which pressured our gross margin. However, we remain an important supplier to our aseptic customers and we anticipate volumes with our existing customers will improve from current levels. Additionally, we continue to be encouraged by the pipeline of new feature sales opportunities, particularly through expansion into adjacent categories such as broth allowing us to leverage our current asset base, capabilities and resources towards penetrating a $1 billion in growing product category. We have already had a couple of wins with good initial reorder rates and are working to further build the pipeline of future sales opportunities for 2018. Healthy snack sales increased 1% as reported and it was up 13% on an adjusted basis, normalizing for the impact from our decisions to exit pouches and bars. Profit performance continued to be impacted by our pouch and bar operations, which collectively were $1.2 million drag on adjusted EBITDA during the quarter. Finally, global ingredients generated 2.4% growth. Solid sales growth in international markets was partly offset by a decline in domestic sourcing and supply. We are pleased with the strong international trends and continue to invest in international processing capacity for both cocoa and sunflower and a focus on identifying new organic sources of raw materials to bring to market. Domestically, we ended the quarter with a strong month led by recent wins in roasted snacks serving both the food service and retail channels. We continue to see organic and specialty ingredients as well as roasted snacks is key areas of the business that SunOpta is uniquely positioned to grow profitably. Now, let me turn to an update on the value creation plan. As we have discussed over the last few quarterly calls, the first phase of the value creation plan is targeting implementation of $30 million of productivity driven annualized EBITDA enhancements over 2017 and 2018 and $20 million of working capital efficiencies by the end of the year. For 2017 these EBITDA benefits will be offset by structural investments made in the areas of quality, sales, marketing, operations, engineering and other functional resources as well as non-structural third-party consulting support, severance and recruiting costs. The plan also calls for increased investment in capital upgrades at several manufacturing facilities to enhance food safety and manufacturing efficiencies. Over time these investments are expected to yield EBITDA improvements to go beyond the $30 million that is being targeted in the first phase. During the third quarter, we continue to make progress against each of the four pillars of the plan, and believe we are on track to achieve targeted productivity enhancements. Let me give you an update on our progress during the third quarter. First our portfolio optimization efforts were apparent with the recent announcement that we are exiting the nutrition bar product category. Recall, that our focus is to simplify the business investing where structural advantages exists while exiting businesses are product lines where the company is not effectively positioned. As we discussed last quarter, the bar operations were not meeting our expectations representing a significant drag on resources and our overall profitability. We initiated a rapid response and evaluated opportunities to improve the operations. However, the conclusion coming out of that work with that the business was not effectively positioned and long term did not have a right to win in the category. Given our size relative to the competition, our customer profile and limited avenues to meaningfully penetrate private label, we decided to exit the business. We anticipate the business to be substantially wound-down by the end of this year. Our portfolio optimization efforts also include making investments in categories where we do have the right to win. We are progressing with investments, we’re expanding capacity and capabilities in our Mexican frozen fruit facility and in our cocoa operations in the Netherlands, as well as having identified investment opportunities in roasted snacks. While we continue to evaluate our operations for additional investment or divestiture and evaluate our product offerings on an SKU basis to optimize our portfolio and enhanced our strategic positioning going forward, we are already ahead of our target of $5 million of EBITDA improvement projects. Since the initiation of the value creation plan, we have implemented portfolio changes expected to yield approximately $6 million of annualized EBITDA benefits. The focus of the operational excellence pillar is to ensure food safety and quality, coupled with improved operational performance and efficiency. These efforts are expected to generate productivity improvements and cost savings in manufacturing, procurement and logistics. I remain pleased with our progress today. We will continue to focus on and increase our diligence in becoming the leader in food safety and quality across the healthy food industry. At the same time, we continue to identify and implement cost savings initiatives, to increase productivity in our manufacturing operations and lower procurement and logistics. As I noted some of the benefits of these initiatives aren’t apparent in our margin performance during the third quarter due to significant underperformance from the nutrition bar and flexible reasonable pouch product lines, and the impact of lower volumes in aseptic and frozen fruit. As we convert our sales opportunity pipeline, we are confident that the positive margin impact of the process improvements today will be evident in the financial results as volumes build over time. Since the initiation of the value creation plan, we have implemented process improvements and costs savings expected to yield approximately $5.3 million of annualized EBITDA benefits. The focus of the go-to-market effectiveness pillar is to optimize customer and product mix in existing sales channels and identify and penetrate new high-potential sales channels. Efforts under this pillar are expected to improve revenue growth and profitability over time. During the third quarter, we continue to grow the pipeline of future commercial opportunities across the beverage fruit and fruit snack categories with recent private label, food service and contract manufacturing account wins some of which represent the new white space opportunities for the company. We have further enhanced our team with the hiring of the new Chief Customer Officer for the consumer products segment as well as a new Head of Marketing and other new commercial talent that will focus efforts on growing the top line. Since the initiation of the value creation plan, we have implemented go-to-market improvements expected to yield approximately $1.2 million of annualized EBITDA benefits. The focus of the product sustainability pillar is to ensure the company has the infrastructure, systems and skills to achieve and sustain the business improvements and value capture from the value creation plan. During the third quarter, we kick off a new ERP project in our Mexican frozen fruit facility in support of our ongoing efforts to expand our presence in Mexico, which is a key and growing source of supply. We also continue to focus on customer service and working capital levels as our sales and operations planning process is in support systems continue to be refined. During the third quarter, we appointed a new General Manager for the frozen fruit platform, and upgraded several plant manager positions. Including the new Chief Customer Officer for consumer products that I just mentioned, since my arrival in February of this year, we have replaced or added eight new senior leaders to the organization. All of whom bring significant experience and leadership to their functional areas of expertise. I remain pleased with the quality of talent our organization is attracting, and encouraged that each of these new professionals see the value creation opportunity in SunOpta. I believe we have the team in place to achieve our goals and execute on the value creation plan. As I stated earlier, we are on track with our targeted productivity savings and look forward to updating you each quarter with our progress. I will now turn the call over to Rob, to go through the third quarter financial results. Rob?
Rob McKeracher: Thanks Dave. I’ll tell you the rest of the key financial statistics, as well as balance sheet and cash flow metrics for the third quarter. As Dave mentioned, third quarter revenue was $320.7 million and 8% increase year-over-year – an 8% decrease, sorry year-over-year as reported or 7.4% excluding the impact on revenues from changes in commodity related pricing and foreign exchange rates and removing the impact of bar and pouch lines of business that are being wound-down. The global ingredient segment generated revenues from external customers of $140.5 million an increase of 2.4% compared to $137.2 million in the third quarter of 2016. The impact of changes in commodity related pricing in for exchange largely offset during this third quarter, such there were no net – there was no net impact on revenue growth. Product segment generated revenues from external customers of about $180.2 million during the third quarter of 2017 a decrease of 14.8% compared to $211.6 million in the third quarter of 2016. Excluding the impact of commodity prices and removing the impact of bar and pouch lines of business that are being wound-down revenues in the third quarter decreased by 14.2%. As Dave mentioned, the decline was largely driven by reduce sales of retail package frozen fruit and aseptic beverage products partially offset by increased fruit snack sales. For the third quarter of 2017, gross profit was $36.5 million or 11.4% of revenues compared to $41 million or 11.8% in the third quarter of 2016. Excluding $1.3 million of costs related to plant closures gross margin for the third quarter of 2017 would have been a 11.8% compared to an adjusted gross margin of 12.3% a year ago. The decline in gross margin primarily reflected increase loss since from the flexible re-sealable pouch and attrition bar product lines. Lower sales volumes and aseptic beverage and frozen fruit including the impact of client utilization as a result of lower production volumes and less efficient sunflower and roasting operations following the 2016 recall. These factors are partially offset by implementation of productivity initiatives, operational savings from the closure of a juice processing facility earlier this year improved availability and field prices for fruit and increase sales organic ingredients into the international market. As compared to the second quarter of 2017 on an adjusted basis, gross margin decreased 70 basis points reflecting the impact of lower sales and production volumes and plant utilization primarily in our aseptic beverage operations. As well as favorable foreign exchange impact experienced in the second quarter and U.S. dollar denominated raw material sourcing within our international organic ingredient operations. Focusing only on the consumer products segment, adjusting for cost associated with the value creation plan and removing the impact of the bars and pouch lines of business. The combined gross margin percentage for healthy beverage, fruit and the remainder of the snacks platform increased 20 basis points over the second quarter. For the third quarter, we reported operating income of $5 million compared to operating income of $13.2 million in the third quarter of 2016. Adjusting for $3.7 million of one-time non-structural costs related to third party consulting, employee recruitment and cost related to plant closures all incurred in the relation to value creation plan, operating income in the third quarter would have been $8.6 million or 2.7% of revenues compared to $16.8 million or 4.87% of revenues in the third quarter of 2016 on an adjusted basis. On a GAAP basis for the third quarter, we reported a loss from continuing operations of $6 million or $0.09 per common share compared to a loss from continuing operations of $3.4 million or $0.04 per common share during the third quarter of 2016. Third quarter results include several charges and items that are not reflective of normal operations and have been excluded in calculating adjusted earnings. These items include, $6.1 million after tax of costs primarily related to the value creation plan reflecting third party consulting, employee recruitment in the previously imagine costs associated with the wind-down of the Carson City facility and the exit of the pouch business, as well as the asset impairment charges and employee termination costs. For the third quarter of 2017, we reported an adjusted loss from continuing operations of $1.9 million or $0.02 per common share compared to adjusted earnings of $6.3 million or $0.07 per diluted common share in the third quarter of 2016. For the third quarter of 2017, we realized adjusted EBITDA of $19.1 million compared to $26.7 million during the third quarter of 2016. Please note that the drag from our bars and pouch lines of business is included in adjusted EBITDA. If we exclude the impact of the bars and pouch product lines from the third quarter results, adjusted EBITDA would have been $20.3 million. I would like to remind listeners that adjusted EBITDA and adjusted earnings are non-GAAP measures and a reconciliation of these measures to GAAP can be found towards the back of the press release issued earlier this morning. Along the cables breaking out the impact of the bar and pouch product lines. From a cash flow perspective, through the first three quarter of 2017, cash used in operating activities was $17.4 million compared to cash used was $35.3 million for the first three quarters of 2016. The $17.9 million improvement in cash used in operating activities reflected a $35.6 million reduction in cash used to fund working capital, as a result of working capital efficiency initiatives, which were focused on lowering inventory positions, maximizing purchasing terms, and augmenting collection efforts for accounts receivable. These positive efforts were partially offset by costs incurred under the value creation plan. We continue to expect to generate increase cash during 2017, as a result of our efforts to lower working capital. However, the significant swing in foreign exchange between the euro and U.S. dollar is expected somewhat mask the improvements along with the impact of lower fruit sales on inventory levels. During the third quarter cash used in investing activities was $7.8 million compared to $5.5 million in the third quarter 2016. Investing activities in the third quarter related primarily to the acquisition of the non-controlling interest that are Mexican frozen fruit facility, as well as capital expenditures including expansion of roasting capacity at our cocoa processing facility in Holland and other facility enhancements focused on food safety and productivity. As previously mentioned, we expect our capital spending to trend higher in 2017 compared to prior years in support of value creation plan higher in 2017, compared to prior years, in support to the value creation plan. We expect capital spending for 2017 to be in the range of $27 million to $30 million. At the end of the third quarter, total debt was $489.8 million an increase from the second quarter level due to increase in working capital driven by the timing of payments. At September 30 2017, our leverage was approximately 6.5 times adjusted EBITDA on a trailing four-quarter basis after eliminating the negative impact on EBITDA from completed and fourth coming facility closures. We expect our total debt level to decline in the fourth quarter, as we sell through our fruit inventory and complete the 2017 grain crop changeover. From a liquidity perspective, we ended the quarter with approximately $70 million of available capacity on our global asset-based credit facility and remain well-positioned with sufficient capital resources to support the value creation plan. With that, let me turn the call over to the operator to facilitate Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Jon Andersen with William Blair. Your line is now open.
Jon Andersen: Hey Good morning, thank you for a question. I want to ask first about the Consumer Products business performance in the quarter. The revenue came in below our expectation and from your commentaries sounds like yours as well. It seems as though it’s concentrated in two areas. First, let’s talk about fruit. And I’m trying to understand a little bit more about what you’re seeing in the frozen fruit business are there is truly kind of a category issue that should resolved itself with and improving in price gap between fresh and frozen? Or the end or are there some other things happening within that business from either a customer relationship standpoint, competition price pressure, etcetera. If you could share some insight into that good place to start again.
David Colo: Hey Jon, its Dave. So on the category as a whole I think we continue to see a slight decline you know I quoted the last 12 weeks and four weeks indicated data off roughly 3%. I think what’s happening is, as the pricing is starting to be lowered and passed through the retail, think that’s been slower to be reflected actually at the retail level. So some of the pricing as it made it all the way through to the consumer at this point, and I think if that happened I think we will see that category normalized and hopefully returned to some growth. So I think pricing pass through the retail is still impacting the category as a whole. On a on a broader category the whole. On a on a broader category question, I think what we see and what we’re hard at work on is, we think that there is more of a play here than just pricing and I think if you look at what’s happening in retail there’s more focus on fresh both fruit and vegetable there retailers are emphasizing more in the perimeter of the store. And as a result that is going to require us to change how we go to market with frozen fruit. Improve the quality, improve the usability, improve in some cases the packaging format that the fruits in. We see a trend going to moving the larger sizes. In the category its helping going to more blends and bringing in more tropical fruits. So I think we see a line of sight on how to return that category to growth and how to bring better innovation and options to the retailers and therefore the consumer. So we still feel good about the category. I think we’re going through a meaningful transition in the category, relative to both the pricing transition that’s occurred over the last several years in the correction this year, but also the change in consumer behaviors. So that’s that how I would reflect that. On the any time you go through a significant transition in the category from a pricing perspective. And what I mean by that. If you look historically in frozen fruit, the last three to four years it’s been nothing but increases in pricing. Right, the demands been high, the category is been growing. And now we’re going through a position where the prices reached a level last year, that consumption declined which will lead to a increase in supply if you will on a from a manufacturer basis across the category. So you’ve got manufacturers sitting on long positions and you factor in the fact that the new crop pricing, field prices were much lower this year. So you’ve got a situation where you’re trying to manage through a high cost inventory position from old crop transitioning into lower pricing on a new crop, and trying to make that delicate balance as you try to manage pricing and maintain margins. Here all of us are trying to manage through that with our customers. So that led to some challenges that you have to deal with, as you go through retailer-by-retailer and it’s just something we’re working through. But as we said in the prepared remarks. We’re missing a lot of investments in our frozen fruit business, we’re expanding our facility in Mexico both from a capability point of view in that we’re putting in retail bagging capability, so that we can shift direct to customers from the facility. We’re also expanding the different types of fruit that we can support or grow in manufacturing in that facility, as we view Mexico is the key source of supply on a different number of fruits going forward which ultimately we will position us to maintain our forward which ultimately we will position us to maintain our position as a high quality low cost flyer going forward. So there’s a lot of dynamics going on in the category, but we feel good about how we’re positioned and we think that as we progress over time will return our business to grow.
Jon Andersen: Okay. On the aseptic beverage side of the Consumer Products business, was there any pressure that you experienced of late beyond the plum store contract that exist, we knew that, that was part of the story in the third quarter, but that business sounded based on the utilization rate that reported, was perhaps a little bit softer and how are the efforts to offset that contract exit in areas like broth, kind of coming along and are there ways to kind of accelerate that going forward?
Rob McKeracher: Sure. Yes, I think the – we’ve had no customer loss issues beyond the one that we’ve explained in aseptic. I think what we experienced in the quarter was more of a kind of a transitory issue where one of our large food service customers, demand , was softer than we anticipated in the third quarter more of a timing issue than anything else. We’re seeing that particular customers volume come back nicely here in the fourth quarter. So I think it was a situation where we had some working capital or inventory management going on at a key customer and from a consumption point of view we don’t see any concerns in that area. What we see as far as how to grow the business, I mean we’ve spoken about the category and where we see opportunities in adjacent categories and in the broad category particular its a billion dollar category it’s growing in high single to double digits and we feel we’re well positioned in that category, we developed some new innovation on different types and formulas if you will. And we’re aggressively out building sales opportunity pipeline with a lot of different customers across multiple channels. So we feel good about that, if you exclude the impact of the contract loss that we spoke about in the aseptic non-dairy business with that particular customer. Year-over-year we’re up about 7.8% overall in our aseptic non-dairy business. So that should provide some context about – how the platforms doing overall excluding the loss of that one customer.
Jon Andersen: So I’ve got two more. First lot of talk in the third comments around the building of the commercial pipeline. Ad around the building of the commercial pipeline and, obviously this is critically important because as you transition out of 2017 and into 2018, that’s going to be a focus for not all of us. Can you talk a can you talk a little bit more about the complexity of the pipeline was there any way to kind of talk about that what you’re seeing in terms of the magnitude of that bill, the new business opportunities and how that will be – how and how that may be reflected in the top line as we move in the kind of 2018 and beyond.
David Colo: Sure, First, I’ll tell you that the sales opportunity in pipeline as we call it, is it’s pretty robust across all of our product categories. So frozen fruit, healthy beverage, healthy snack and across the different channels with any category and by that I mean whether it’s mass. Traditional retail grocery, the specialty channel even our contract manufacturing base, food service etcetera. We have obviously our commercial teams working across all those channels against all of our product categories to identify opportunities for growth. As you know the way this works is, you’re in the queue, you’ve identified the customers and you get in the queue for the next time the category comes up a bit. So we feel like we’re well positioned when those bits come out to be competitive and wind business going forward. The way that we’ve spoken about this on previous calls and I still view it the same way, is that given the timing of when the categories become available to us to bid and the timing of when the shipments would hit. The reality of it is its going to be the back half of 2018, before we start seeing those opportunities are reflected in revenue growth. And I feel like Q1 this year we’re not going to see revenue growth and as we get into Q2 and in particular three and four of next year, that’s when we should see the opportunities reflected in that revenue.
Jon Andersen: Okay. And then on the last one for me. On the portfolio optimization side, you’ve done some things that are revenue I guess reducing in terms of exits around pouches and nutrition bars, those will obviously be profit enhancing although we pick top line in the near term. Where are you with respect to that kind of – that portion of the value creation program are we done with kind of the revenue reducing exits largely and now more in kind of reinvestment mode in the core businesses. Now more in kind of reinvestment mode in the core businesses.
Rob McKeracher: Yes. I mean John, it’s Rob. We’re always evaluating of course our portfolio, but certainly sitting here now and if you think to what we’ve auctioned in terms of the juice facility and then midpoint this year bars and pouch obviously we’ve taken action with the businesses, that they’ve sort of repaired remarks, we try to give it a go and make sure we’re not existing something that we like, but the reality is this isn’t going to create long-term value. So I think it’s fair to say for now that we’re anticipating further revenue deterioration, revenue deterioration with the caveat that we’re always evaluating our portfolio but certainly going forward you’re going to hear more about how we’re optimizing our portfolio with investment.
Jon Andersen: Okay. Thank you. Appreciate it.
David Colo: Thanks, Jon.
Operator: [Operator Instructions] Our next question comes from the line of Amit Sharma with BMO Capital Markets. Your line is now open.
Amit Sharma: Hi, good morning every one.
David Colo: Hi Amit.
Amit Sharma: Dave, thanks for way you answer to the frozen fruit. I do have a follow-up on that. You talked about the category maybe shifting to the parameter. Can you talk about what’s opportunity there? Is there simply getting back to the historical growth rates that the category has or does that help you as you look forward from a category perspective in terms of growth?
David Colo: I’m not sure I understand the question Amit, are you asking do we see opportunities to move our portfolio to the parameter?
Amit Sharma: If the category does move more to the parameter, the frozen food, is that going to help overall consumption trends or are you simply getting back to where you were prior to this year’s volume weakness, as in the category.
David Colo: Right, I see. I think the positive thing that we see is that people continue to pursue a healthier diet, right? And fruit is part of that diet whether it’s fresh or frozen, I think that does help the overall category and I think where we see the opportunity is, if you look at innovation we talked about this historically in frozen fruit, it’s been woefully lacking and behind a lot of the other categories that we all watch. So where we see opportunity is how do you position frozen fruit for more of a convenience factor, ease of use, portability, even functionality for the end consumer and that’s what we’re focused on from an innovation perspective is, it can be things as simple as packaging changes, standup versus lay down bags, improving re-sealability features on the packaging, getting the frozen fruit to taste more and perform more like fresh through some opportunities, primarily processing and packaging related. And then the other thing that we’re seeing is I think from a convenience point of view, frozen fruit does have an advantage because it lasts longer, if you will, versus fresh and the different types of fruits that people are interested in is moving more towards tropical’s and more towards the berry blends. The other – so obviously we’re going to focus on innovation in those areas. The other thing that we think is an opportunity is maybe on this whole portability and single serve opportunity, how do we positioned our portfolio to take advantages of those areas. It’s interesting because as we look at this what we’re finding is people are more and more interested in single serve options relative to frozen fruit; whether it’s for their kids, whether it’s for meal occasions throughout the day, whether it’s breakfast, lunch, dinner, or even dessert, how do we position the portfolios so that we’ve got the right offerings and package formats to take advantage of those particular areas that we see developing.
Amit Sharma: And when you talk about retailers probably holding onto pricing a little bit more and that’s having a negative impact on the category volumes, is that still a timing factor in terms of like that pass-through will come when you talk to your main customers or is that something retailers just see as an opportunity to make up for margins?
Rob McKeracher: No I think – this is fairly common when you go through a pricing transition of this magnitude. This pricing will be passed on eventually at retail. There’s typically, in my experience you know, you can see a two, three, maybe even four month lag. So, I think that will ultimately flush through and you’ll see the lower prices reflected on the shelf and, again, I think that will help consumption.
Amit Sharma: And just the last question on the topic, if you look at your quarterly EBITDA or even next quarter if volumes do come back to where they should be given the pricing, is there a way to quantify the impact on your EBITDA from that as you grew utilization?
Rob McKeracher: Yes, I mean in real simple terms and one of the things that I’ve looked at on, is just – maybe speaking of the beverage business and aseptic in particular just kind of looking at the second quarter and the third quarter in that timing gap the loss of the one customer aside you’re looking at as much as 100 basis points movement as a percentage of revenue just to get back to a bit more stable level of revenue and then having our utilization to factories get back north of 60%, which is where we were for the first half of this year – as we said in the prepared remarks to 50% here in the third quarter. So it does showing the opportunity, obviously we’ve got the assets in place and the capacity to bring the revenue in, but that’s – I look at that is kind of one of the – to give you a flavor for as we get back to normal what things can rebound by.
Amit Sharma: Okay. So 100 basis point for the beverage and we should expect a similar opportunity for frozen, is that the way to look at it?
Rob McKeracher: Yes, frozen I say, is more of a direct contribution from revenue. Beverage is really the one that is truly impacted the most by production capacities.
Amit Sharma: Got it. And then Dave you talk about a pretty substantial pipeline next year, Amazon have talked about making a much deeper push into the organic naturals, can you talk about are there customers today is that an opportunity have you had any meaningful conversations with them in order to meet them large size customer?
David Colo: Yes, I mean we don’t really disclose who our customers are, but I can tell you – we participate in that area and we do think that it’s going to be a good opportunity. I think as you look at what Amazon is doing and what they’re doing with the acquisition of Whole Foods. They’re putting an emphasis on their store brand if you will. Not only in the stores, but they’re also backward integrated into their Amazon shopper platform. So I think that will benefit companies like ours. We’re well positioned in the natural channel already to take advantage of some of those trends. And so I think we see that as an overall positive for companies like ours.
Amit Sharma: When you gave your pipeline is e-commerce part of the pipeline or not yet?
David Colo: Yes. It’s definitely part of the pipeline, I think, I would tell you prior to Amazon Whole Foods acquisition it was top of mind, but not a top priority. With that acquisition, I think that’s accelerated the priority for a lot of manufacturers such as ourselves. So it’s definitely part of how we’re looking at the pipeline going forward.
Amit Sharma: Got it. And the last one from me Dave, about the capacity in the right sizing of the production capacity look this is – it’s commendable that you are being proactive with taking of the capacity when it’s not utilized properly. My question really is do you have enough visibility where you can stay ahead of the curve in terms of what’s happening in retail or are we going to be in a situation where we know reacting to what’s happening at that retail or at the category level.
David Colo: Yes, I think it’s the side of the fact that we have low utilization at some of these plants as we have plenty of opportunity for growth with our existing asset base, right. And I think is that’s what we spoke to you in our prepared comments as we – some of these top line opportunities we’re looking at come to fruition we’ve got the capacity ready willing enable to take advantage of that. But I’ll also tell you though is just we’re looking forward and more from an innovation perspective and having the right packaging formats where we see opportunities for growth. We will probably have to invest in some capacity to make sure we have the right type of capacity to support the growth right. So I think the fundamental equation do we have our assets in the right locations, I’d say check the box there we feel really good about our manufacturing footprint in all the categories in which we compete. I think is our innovation pipeline evolves, I think what you’ll see is doing is investing in that existing footprint with some different manufacturing capabilities to support the innovation.
Amit Sharma: Got it. That’s all I have. Thank you so much.
David Colo: Thank you.
Operator: Our next question comes from the line of Chris Krueger with Lake Street Capital Markets. Your line is now open.
Chris Krueger: Hi good morning.
David Colo: Good morning.
Chris Krueger: Last two guys, really covered most of my questions, but I have a – kind of a different one here, last week there’s numerous stories in the media about the Food and Drug Administration proposing to revoking the claim that soy can prevent heart disease, I know there’s like a little heart healthy label on lot of soy products out there. Just wondering what your opinion is on that and if it really matters much to you and what percent of your business is soy related?
David Colo: Sure I’ll take that one Chris. We don’t disclose – obviously soy has traditionally been a big part of our business. We don’t disclose the proportions, but I think it’s fair to say that a long time ago it was a very big proportion and over the years it’s been proportionally whittled down little down both as a result of declines in terms of demand for soy in the fact that our portfolio is broad and to use beverage as an example, coconut, almond, rice you name it right, we’re not tied to any one commodity. Now, when it comes to soy itself I would suggest this isn’t the first time that there’s been bad press or a bad halo little perhaps put around it. It’s been this way for a while I do believe that it will continue to remain a stable product. When you look at both the customers and the channels we serve a lot of our sensitive food service as the food service label, of course level the label claim of heart health is somewhat irrelevant meaning it’s not in the packages behind the counter. And actually a lot of other applications where our product goes either as an ingredient or as a beverage it’s not being promoted as with that label that they’re proposing be retracted. So I don’t think they’ll have a significant impact on us. I think the important thing is that the breadth of our portfolio and the fact that we can serve non-dairy alternatives or plant-based alternative is including soy or excluding soy as what is important for SunOpta.
Chris Krueger: Right, that’s helpful. That’s all I guess. Thanks.
David Colo: Thanks Chris. 
Operator: I’m showing no further questions in queue at this time. I’d like to turn the call back Mr. Colo for any closing remarks.